Operator: Good day, ladies and gentlemen and welcome to the second quarter 2008 Kilroy Realty Corp. earnings call. (Operator Instructions). I would now like to turn the presentation over to your host for today's call, Mr. Richard Moran. You may proceed.
Richard Moran: Hi. Thank you very much and good morning everyone. Thank you for joining us. With me today are John Kilroy, our CEO; Jeff Hawken, our COO; Tyler Rose, our Treasurer and Heidi Roth, our Controller. At the outset, I need to say that some of the information we will be discussing this morning is forward-looking in nature. Please refer to our supplemental package for a statement regarding the forward-looking information in this call and in the supplemental. This call is being telecast live on our website and will be available for replay for the next 10 days, both by phone and over the internet. Our press release and supplemental package have been filed on a Form 8-K with the SEC and both are also available on our website. We released our second quarter results yesterday afternoon; FFO was $0.78 a share. That includes a $0.09 a share increasing our bad debt expense related to the Favrille situation that's outlined in our press release. John will start the call with an overview of the quarter and our key markets, I'll add financial highlights and update our 2008 earnings guidance and then we will be happy to take your questions. John?
John Kilroy: Thanks, Dick, and hello everyone. Thanks for joining us. The second quarter was very similar to the first quarter for us at KRC. We continue to see economic uncertainty affecting our tenant's decision-making and we made solid leasing progress in spite of that uncertainty. In terms of the economy, there is no question that continuing doubt about the future is affecting the pace at which transactions are getting executed. Job growth is slowed in our markets, but we haven't seen this translate into significant tenant contractions yet. California's unemployment rates for June showed the moderate increases from the prior quarter with current rates of 7% in Los Angeles, 5.2% in Orange County and 5.9% in San Diego county. We were pleased with our leasing results during the quarter and continue to exceed our forecast. So far this year, we've executed over 1.3 million square feet of new and renewing leases. During the quarter, we renewed two larger leases that were scheduled to expire in 2009. In June, Epson signed a 10-year renewal on its 136,000 square foot lease in our Kilroy Airport Center Long Beach project. The lease was set to expire in October of 2009. Rent was up 19% on a cash basis and 39% on a GAAP basis. And in May, Pacific Bell renewed its lease with us in Sorrento Mesa for a new five-year term. The lease covers a 133,000 square feet at our 6350 Sequence Drive project. Rent was up 10% on a cash basis and 24% on a GAAP basis. These transactions have given us a good head start on our 2009 expirations, which now totaled 1.5 million square feet. On the development front, we just signed a lease with DIRECTV for the remaining 25,000 square feet at our redevelopment project in El Segundo, bringing that project to a 100% leased. Our combined in process development and redevelopment program encompassing about 611,000 square feet and six projects is now 69% leased. Three of the projects are fully leased and we continue to see reasonably good interest on our small medical office building and our two office buildings in Sorrento Mesa as well as a 19% leased Sabre Springs Corporate Center project. Now let me review the Favrille situation. They have been one of our long-standing, publicly-traded biotech tenants in the Sorrento Mesa submarket. After much promise and five years of effort, Favrille's cancer drug failed in its Phase III trials and the company has reduced it work force and faces liquidation. The company leases both office and biotech space from us totaling a 130,000 square feet in our Pacific Center Court project. We have some protection against the loss in our letter of credit, which Dick will discuss in more detail, along with the impact on our near term financial results. We are aggressively marketing the project and have several perspective tenants that have already toured the space. Favrille's failure was not economically or economy related, but rather the often binary nature of young life science companies. Separately as you know, the company has three distinct leases with Intuit, including a regional headquarters lease on the 56 Corridor, a data center lease in the UTC Governor Park submarket and a lease with Intuit's credit card division in Calabasas. In July, we negotiated a lease termination for the 90,000 square feet they occupy in the Calabasas market. That division is growing quickly, and our space no longer accommodates them. They held an option to terminate the lease in 2010, but agreed to pay us $6.3 million in cash now in order to vacate early. Essentially, we received the present value of the remaining lease obligation. While the Calabasas market has been reasonably strong, Countrywide has a significant amount of space in the greater 101 Corridor area and the market may come under additional pressure as [BFA] figures out what to do with Countrywide's real estate. Our property is well located along the Freeway. And with the lease termination payment in hand, we will get a head start on our re-leasing efforts. As part of the agreement with Intuit, they also agreed to exercise their option to extend their 71,000 square foot lease in the UTC Governor Park submarket in San Diego from August 2009 to August 2010. That lease generates about $1.7 million in triple net rental per annum. Before providing an update of our markets, let me tell you what I can as to the status of our legal dispute with the San Diego tenant, we mentioned last quarter. Newgen Results Corporation signed the original lease in 2000 for our property at 10243 Genetic Center and subsequently, TeleTech acquired Newgen. We have not received rent since March of this year, and we filed a complaint against Newgen and TeleTech. The case is currently pending. That is all what we can say at this point based on the advice of counsel, except that I would add that we intend to vigorously pursue our claim. With that overview, let me give you a quick review of our individual submarkets starting in San Diego. According to CB Richard Ellis, active demand for office space in central San Diego totals approximately 5.5 million square feet, which is down from 6 million square feet last quarter. Del Mar remains one of the strongest submarkets in the San Diego area. We currently own 1.5 million square feet in this market or approximately two-thirds of the top-tier Class A product. Direct vacancy is currently 10% and total vacancy is 13.9%. Our stabilized properties in Del Mar are 99.8% occupied. Just south of Del Mar in the Sorrento Mesa submarket, where KRC competes in two and three-storey office product, current direct vacancy, there is 6.7% and total vacancy is 9.1%. Our stabilized properties in Sorrento Mesa encompass approximately 1.9 million square feet and are currently 100% occupied, but excluding Favrille and TeleTech would be 88% occupied. Moving further south in the UTC Governor Park submarket, we also compete in the two-storey product type. Our properties here total 430,000 square feet of space. Current direct vacancy is about 6.8% and total vacancy is 19%. Our vacancy here is the 140,000 square feet building formerly occupied by Intuit, along the I-15 Corridor, just east of Del Mar, we own approximately 750,000 square feet of stabilized office space. The two-storey product type here has a current direct vacancy rate of 11.7% and total vacancy, approximately 16%. For Class A product direct vacancy is 24.4% and total vacancy 27.9%. Our stabilized properties here are 81% occupied. Moving north to Orange County, the market remains bifurcated with office demand weak and industrial demand stable. The vacancy rate in Orange County for industrial space is only 4.4%. Our industrial portfolio of approximately 3.7 million square feet was 90% occupied at the end of the quarter. Our industrial vacancies primarily consist of the 157,000 square foot we are rezoning to residential in Irvine and the 153,000 square foot Anaheim project we discussed last quarter, where the tenant has now gone out of business and vacated the property. Further north, in LA County, El Segundo by Long Beach are now among the stronger markets in the area. Kilroy Airport Center Long Beach, our seven building office campus immediately adjacent to Long Beach airport is currently 95% occupied. As I mentioned earlier, we recently signed a renewal lease with Epson covering 136,000 square feet that was expiring in this project next year. Class A direct vacancy here in this market is 5.4% and total vacancy is about 8.3%. We are also seeing strong demand for our future Phase IV of our Kilroy Long Beach Airport project, which will include two to three buildings totaling up to 200,000 square feet. In El Segundo, our stabilized properties are currently 97% occupied. Class A direct vacancy is now 11% and total vacancy is 12.3%. West L.A. remains solid with direct vacancy at 4% and total vacancy at 11.7%. Our properties here totaled 680,000 square feet and are 98% occupied. Finally, along the 101 Corridor market, which runs through Northern Los Angeles and Southern Ventura Counties direct vacancy in a Class A product is currently 14.7% and total vacancy is 15%. Our properties in the market are currently 94% occupied as of the end of the quarter. To summarize, we continue to be pleased with our leasing results, but as we've been saying now for more than a year, executing transaction in an uncertain economy continues to be challenging. And although, we are naturally concerned about the economy's direction and the potential impact on our business and on our tenants, we have confidence in the quality of our assets and the strength of our financial position. That's an update on our recent activities and markets. Now, Dick will cover the financial results. Dick?
Richard Moran: Thanks, John. FFO was $0.78 per share in the second quarter and $1.65 for the first six months of the year. Earnings were lower than originally forecasted to a $0.09 a share increase in bad debt expense related to the Favrille situation. Let me start with that. Our annualized GAAP revenue from Favrille was $6.4 million and Favrille had paid rent through June 30th. We also had $3.9 million of credit support in the form of a letter of credit and security deposit. The Favrille lease will remain in effect through August 31st and then be terminated. Of the $3.9 million in credit support, approximately $800,000 will be applied to rent for July and August. The remaining $3.1 million of credit support will be offset against the $6.2 million net straight-line rent receivable we had at June 30th related to Favrille. So the net effect of the Favrille announcement in second quarter was to increase our bad debt expense by $3.1 million, or $0.09 a share. That $3.1 million increase in bad debt expense is equal to the $6.2 million of Favrille straight-line rent receivable less the $3.1 million credit support proceeds offset against it. Partially offsetting the $0.09 a share of additional bad debt expense in the second quarter, we had $0.04 a share of one-time positive items from some insurance proceeds and property tax refunds. Moving to occupancy, we ended the quarter with stabilized occupancy of 92.8%, down from 94.8% at the end of the first quarter. By product type, office occupancy was 93.8% and industrial occupancy was 90.7%. Our lower occupancy was largely the result of the default in move out by the 153,000 square foot Anaheim industrial tenant that we mentioned on last quarter's call. Our occupancy rate hasn't been adjusted for the impact of the Favrille situation, which will lower overall occupancy by 1% or by the TeleTech legal dispute, which impacts our overall occupancy by 0.8%. Same-store NOI was down 9.2% on a GAAP basis and 3.8% on a cash basis for the second quarter, excluding the impact of Favrille and a lease termination payment we received from Nokia in the second quarter last year, same-store NOI would have been up 1.3% on a GAAP basis and 2.6% on a cash basis. For the first six months of the year, GAAP NOI decreased 5.1% and cash NOI was down 1.4%. Again, excluding the impact of Favrille and the 2007 Nokia lease termination payment, same-store NOI for the first six months would have been up by 1.3% on a GAAP basis and 3.3% on a cash basis. Office rents increased 21% on a GAAP basis and 4% on a cash basis for leases that commenced during the quarter. Industrial rents were up 17% on a GAAP basis and decreased 9% on a cash basis, although there were only four industrial leases that commenced during the quarter. Based on our analysis of current market conditions, we believe that rent levels on our overall portfolio are about 10 to 15% under market, and that our remaining 2008 expirations and our 2009 expirations are also about 10 to 15% under market. Given conditions in the capital markets, our balance sheet strategy remains one of liquidity, conservative leverage and flexibility. At the end of the quarter, we had $391 million of available debt capacity on our $550 million credit line. As I mentioned last quarter, we have a single $72 million debt maturity coming due in August that we plan to repay by drawing on our credit line. We repurchased 80,000 shares of our common stock in the second quarter for $4.0 million or an average price of $49.61 per share. We have about 1 million shares remaining under our existing buyback authorization. Now let me finish with an updated 2008 FFO guidance. Last quarter, we provided guidance of $3.30 to $3.50 a share, with a midpoint of $3.40 a share. First, our preliminary estimate is that the Favrille situation won't have any negative overall impact on 2008 FFO beyond the $0.09 we reported in the second quarter. That's because we expect the rent shortfall for part of our third and fourth quarter will be offset by non-cash deferred revenue that will be accelerated when the lease is terminated. Going the other way, we estimate that the Intuit lease termination that John discussed will have about a $0.10 positive impact on FFO. That's comprised of the $6.3 million termination fee, less projected non-cash write-offs and the loss ran after the termination. Adjusting for those two items and taking everything else of which we're aware into consideration, we're maintaining our midpoint for 2008 FFO guidance of $3.40 and tightening our 2008 FFO guidance range from $3.35 to $3.45 a share. That's the latest news from here, and we'll be happy to take your questions now. Operator?
Operator: (Operator Instructions). Your first question comes from the line of Lou Taylor from Deutsche Bank. You may proceed.
Lou Taylor - Deutsche Bank: Thanks. Good morning, guys. Dick, can you just go over a couple of the items, it was just a little too quick to pick up. So in terms of Favrille, it sounds like you had the letter of credit and that offsets the hit from the straight-line rent adjustment and that was 2Q hit.
Richard Moran: Lou, we had $6.2 million of net unreserved straight-line rent as of June 30th from Favrille before the effect of this announcement. There were of the LC proceeds and the security deposit, it was $3.1 million available when the dust settled to offset against the $6.2 million of straight-line rent. So the math is straight-line rent at June 30th, 6.2 minus LC proceeds 3.1 equals, coincidentally, the same number, 3.1 as the net increase in bad debt expense we recorded in the second quarter.
Lou Taylor - Deutsche Bank: Okay. So that implies that the kind of just normal monthly rent from this tenant of roughly $500,000 a month. That won't really start to flow into your, kind of, accounting run rate until September. Is that correct?
Richard Moran: Right.
Lou Taylor - Deutsche Bank: Okay. And then in terms of your 630 occupancy, you mentioned that, this still has Favrille and TeleTech in the numbers.
Richard Moran: Yes.
Lou Taylor - Deutsche Bank: That's correct. Okay. And then lastly, in terms of the guidance, you said there was the $0.09 charge from Favrille, but then you said that's offset by some non-cash item that will offset that. What are those items?
Richard Moran: The $0.09, what we estimate, and again, it's a preliminary estimate because we obviously haven't reported our third quarter results yet or our fourth quarter results for the year, but our preliminary estimate is that for the rest of the year, the rent loss, that as you just mentioned will begin in September and continue for the balance of the year related to the Favrille lease termination will be approximately offset, we believe by the non-cash deferred revenues that will be accelerated as a result of the Favrille lease termination. There's a bunch of moving parts and we obviously haven't reported that yet, but the net effect is that we think that the approximate accounting impact on earnings for this year for Favrille will be roughly equal to the $0.09 a share we reported in the second quarter. There will be some ins and outs over the balance of the year, but we think they roughly offset. That's preliminary, of course.
Lou Taylor - Deutsche Bank: Okay. And I'm sorry. One last question. Can you just go over the Intuit again in terms of a $0.10 positive and that's a 6.3 lease termination fee and then in terms of the rent offset is how much again?
Richard Moran: Well, the lease termination fee that we will receive in the third quarter will be $6.3 million. And if I recall right, the loss rent for the balance of the year $800,000. And the rest would be deferred receipt, deferred asset write-offs that net-net when you net out the $6.3 million lease termination fee less the lost rent once the lease is terminated and if you net out the non-cash charges that we estimate, we estimate that the positive impact on earnings will be roughly $0.10 a share for the year.
Lou Taylor - Deutsche Bank: Okay. Thank you.
Richard Moran: You're welcome.
Operator: Your next question comes from the line of Michael Knott from Green Street Advisors. You may proceed.
Matthew Wokasch - Green Street Advisors: Hi. This is actually Matthew Wokasch filling in for Michael Knott. Is there any update on the industrial to residential conversion?
John Kilroy: Yes. This is John speaking. What's your name again?
Matthew Wokasch - Green Street Advisors: Matthew Wokasch.
John Kilroy: Matthew. Hi, Matthew. Yeah, We're caught into the, I guess, what has become a real legal dispute between the City of Irvine and some of the adjacent cities that have filed a lawsuit against Irvine dealing with requiring them to update their overall citywide EIR. And until that's updated, which they're underway with, we understand we are just in a holding pattern. There's nothing we can do.
Matthew Wokasch - Green Street Advisors: Okay. Thanks for that update. Is there a similar update on the Del Mar land? And I know you're trying to expand your square footage for.
John Kilroy: Yeah. We've been having meetings with the local citizens group and with the officials from the city, and at this point, everything appears to be pretty positive. Certainty, the devil is in the details, but we've had a very encouraging couple of first meetings and are working now to expand that into some revised site plans and whatnot. But at this point, we're very encouraged. A long way to go.
Matthew Wokasch - Green Street Advisors: Thank you again.
John Kilroy: Welcome.
Operator: (Operator Instructions). Your next question comes from the line of Dave Aubuchon from Baird. You may proceed.
Dave Aubuchon - Baird: Thank you. John, the interest lease that you got the lease term fee for in Calabasas, you mentioned they were growing and that space was too small for their needs. Are they staying in that market? Or do you have the opportunity to have them in other submarkets?
John Kilroy: Yeah, we didn't have the opportunity. We didn't have any development properties, Dave, that would accommodate them. They actually essentially doubled in size into a project that Lennar developed for them just down the road. They've had talked with us about expanding, but we just didn't have the entitlements on the site. And I think, you know, we have a pretty strong relationship with those folks. For us, it was pretty simple decision. As I mentioned in my more formal comments, we basically got the present value of the remaining lease obligation through the point, which they had a termination plus a renewal down south in their data center at UTC. And we feel that the way that our building is positioned there that that was a very good thing to do, because it allows us essentially, rather than to have them go out and sublease and us get a portion of any sublease rental, we really get to capture everything now.
Dave Aubuchon - Baird: Great. And Countrywide, obviously, a significant user in that market and their plans are unknown as you outlined. Just relative to that situation and what you see in that market right now, how long do you anticipate re-leasing that space?
John Kilroy: I'm very reluctant in this period that the overall U.S. economy is going through, which certainly rattles through all of our submarkets and so forth, to start giving projections. It's sometimes a little frustrated because we find ourselves with tenants literally sitting down exchanging proposals back and forth. And DIRECTV is the little deal that we just did with them, 25,000 feet, that's a case in point. They needed that space and all of a sudden they were going be sold, which they were to Malone, and then they said no, we weren't going to take the space. And then they said they needed the space. And then ultimately, we made the deal nine or twelve months after we originally had a letter of intent with them. And that's sort of the pattern that we are seeing. There are quite a bit of folks that are going through our buildings, all of our buildings, which is the encouraging sign. But when that translates to being able to make dinner, I just have lost the ability to predict that.
Dave Aubuchon - Baird: Okay. And back to Intuit, the Governor Park lease, you extended them out through 2010. Was there any increase in rent on that space or is the $1.7 million net the same as before?
John Kilroy: There was a slight increase of about 3% or 4%.
Dave Aubuchon - Baird: Okay. And then lastly, Dick on the TeleTech situation, you took out the earnings, I think last quarter from your guidance. Was that $0.09 as I recall?
Richard Moran: Yeah, $0.09 for the remainder of the year, its $0.12 on the annualized basis.
Dave Aubuchon - Baird: Okay. Thank you.
John Kilroy: Thank you.
Operator: Your next question comes from the line of Michael Bilerman from Citi. You may proceed.
Irwin Guzman - Citi: Good morning, it's Irwin Guzman. I just had a question about the guidance. You tightened but kept the midpoint the same. It sounds like there were $0.05 of downside in the second quarter, offset by about $0.10 of FFO upside in the back half of the year. I am just wondering if you are sort of baking any occupancy loss, or if there is anything else coming down the pipe that would keep you from raising the midpoint by the net $0.05.
Richard Moran: Well, yeah, I think there is lots of things going on, but I think we are adjusting slightly for the economy on the downside.
Irwin Guzman - Citi: Do you have an estimate for what the net cash impact for the rest of the year is of the tenant vacancies?
Richard Moran: For new tenant vacancies?
Irwin Guzman - Citi: No, I mean just the issues that you've announced with TeleTech or with Favrille. You gave the GAAP estimates, but I'm wondering if you have an estimate of what the cash impact is for the rest of the year.
Richard Moran: Well, in Favrille, the cash impact is actually positive because of the letter of credit and security deposit more than offset the lost rent for the remainder of the year. Everything else was on cash. On TeleTech, that's true cash, the $0.09 for the rest of the year. And on Intuit, the lost rent of that is as we said about $800,000 dollars. That would be the cash portion of that, offset again by the increase in the termination payment of $6.3 million.
Irwin Guzman - Citi: Alright. Are you marketing the TeleTech space or can you market it? What are sort of your options? Are you considering pushing them out of the space?
Jeff Hawken: This is Jeff. Our understanding is that the tenant is actually in the process of trying to find a subtenant. So they're in the market trying to market the space.
Irwin Guzman - Citi: Okay. Thank you.
Operator: (Operator Instructions). Your next question comes from the line of George Auerbach from Merrill Lynch. You may proceed.
George Auerbach - Merrill Lynch: Hi. Good afternoon, everyone. John, have you seen any pressure on net effective rents in your core San Diego markets over the last 6, 12 months?
John Kilroy: It's interesting. We did that transaction out, that took the entirety of the six-storey building we had under construction, or we have under construction. The deal we did with Bridgepoint and which also included the better of our 130,000 or 140,000 feet that they currently occupy and at the end were expanding into the adjacent building. And we set the all-time high for the I-15 Class A rent. And it is bouncing around. Basically, what we are seeing at Del Mar, rents are holding up very well. On I-15, it really depends where you are on the I-15. That market really should be broken up, in my view, into three or four different submarkets because it sort of all get lumped into one big bag. And some of those markets, the Class A up in Rancho Bernardo, I believe they're getting some concessions. Again, there is not such a huge deal volume that you can really make too much out of it in terms of what the market is. We have not seen a deterioration in Sorrento Mesa and down in UTC on our 140,000 foot, we've been a bridesmaid three times. And my understanding is we were not the highest rent. It was just locational decisions based upon preference of either the corporate parent or the executive in charge. In El Segundo, we haven't seen a deterioration, in fact, we've seen an improvement; same thing in Long Beach, in West LA. I think a lot of folks got out there are expecting that they were going to get the same kind of rents the very best buildings in the market were able to achieve. And I think that some of those folks realized -- I think they realized with the time they weren't going to probably get for a secondary or tertiary location within the Westside market, the same kind of rates as somebody that has a great building in the best location. So that has backed off a little bit. But by and large, we haven't had huge rental discussions. The thing that a lot of folks are now starting to talk about in terms of landlords is how much should you negotiate your bumps to be, given the fact that we might have more inflation in the economy.
George Auerbach - Merrill Lynch: Did the bumps move from, call it 3% to 3.5%?
John Kilroy: Now, in a lot of our deals, like San Diego deals have been sort of in the 3% to 3.75% range and in the Westside, and generally a number of markets has been somewhere in the 3% to 5% range with sort of West LA being at 4% to 4.5%. And I think that's going to continue. I don't think people are going to be able to get big bump. I don't think you're going to be able to see the bumps go up for a while, unless we really see current inflation move.
George Auerbach - Merrill Lynch: Okay. That's helpful. And also, wondering if you can give us your view on market rents over the next 12 months.
John Kilroy: Well, I think I've touched on this in the earlier conference call this year, is that we really haven't been forecasting much in the way of rent increases in the markets. We believe our portfolio is somewhere in the 10 to 15% range on average below current market. And we think that in certain markets like Del Mar, within the next couple of years, we will see some very substantial spikes, just because of demand versus availability. But for the next 12 to 18 months, I don't think that you're going to see rents in any of the markets move up substantially.
George Auerbach - Merrill Lynch: Okay. That's great. Thank you.
John Kilroy: You're welcome.
Operator: This concludes the question-and-answer portion of the call. I would now like the hand it over to Mr. Richard Moran for closing remarks.
Richard Moran: Thank you all very much for joining us today. We appreciate your interest in Kilroy Realty.
Operator: Thank you for your participation in today's conference. This concludes the presentation. You may now disconnect, and have a wonderful day.